Operator: Good morning, ladies and gentlemen and welcome to the Orion Marine Group Incorporated Fourth Quarter 2015 Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to your host for today’s conference, Mr. Andrew Swerdlow, Investor Relations Manager. Sir, you may begin.
Andrew Swerdlow: Good morning and welcome to the Orion Marine Group’s fourth quarter and full year 2015 earnings conference call. Joining me today are Mark Stauffer, Orion Marine Group’s President and Chief Executive Officer; Dwayne Breaux, our Executive Vice President and Chief Operating Officer; and Chris DeAlmeida, our Vice President and Chief Financial Officer. Regarding the format of the call, we have allocated about 15 minutes for prepared remarks in which Mark and Chris will highlight our results and update our market outlook. We will then open the call for sell-side analyst questions for the remainder of the time. [Operator Instructions] During the course of this conference call, we will make projections and other forward-looking statements regarding, among other things, our end markets, revenues, gross profit, gross margin, EBITDA, EBITDA margin, backlog, projects in negotiation and pending award as well as our estimates and assumptions regarding our future growth, EBITDA, EBITDA margin, gross margins, administrative expenses and capital expenditures. These statements are predictions that are subject to risks and uncertainties, including those described in our 10-K for 2014 that may cause actual results to differ materially from those statements. Moreover, past performance is not necessarily an indicator of future results. By providing this information, we undertake no obligation to update or revise any projections or forward-looking statements whether as a result of new developments or otherwise. Also, please note that EBITDA and EBITDA margin are non-GAAP financial measures under rules of the Securities and Exchange Commission, including Regulation G. Please refer to the reconciliation accompanying this earnings call available on our website at www.orionmarinegroup.com for comments on use of non-GAAP financial measures as well as applicable reconciliations to the most comparable GAAP measures. Also, please refer to the press release issued this morning, March 10, 2016, and our quarterly and annual filings with the SEC, which are available on our website, for additional discussion of the risk factors that could cause actual results to differ materially from our current expectations. With that, I will turn the call over to Mark Stauffer, President and Chief Executive Officer. Mark?
Mark Stauffer: Thank you, Drew and thanks for joining us this morning. I would like to begin by thanking our 2,400 coworkers for all their hard work and dedication. As I said on our earnings release this morning, 2015 was the year filled with accomplishments as well as challenges. During 2015, weather delays, project delays and project execution issues in our Heavy Civil Marine Construction segment were disappointing developments during the year. However, I am pleased with the market we see ahead of us in this segment and look forward to an improved 2016. I have made the necessary changes to correct the operational issues impacting our Heavy Civil Marine Construction segment which will bode well for 2016 and beyond. Additionally, I am very pleased with the TAS acquisition we made during the year and the growth opportunities it provides. TAS performed exceptionally well during the fourth quarter with record revenue and record EBITDA capping off a very successful year. As we look to 2016, we continue to experience a high level of demand for all of our services across both operating segments. Our Heavy Civil Marine Construction segment continues to see solid demand to help maintain and expand the infrastructure that facilitates the movement of goods and people on and over waterways. Specifically, we continue to see good opportunities from our private sector energy-related customers as they expand their marine facilities related to the storage, transportation and refining of domestically produced energy. Over the long-term, we expect further opportunities in this sector from petrochemical-related customers, energy exporters and energy facilities. Additionally, private recreational customers continue to be a solid driver of bid opportunities as they expand, repair and refurbish waterside infrastructure throughout the Caribbean. We believe we will continue to see opportunities from recreational customers for the foreseeable future as cruise lines seek new destinations and more robust infrastructure. The funding outlook for the public sector also continues to show improvement. The passage of the Omnibus funding available and approval of a 2-year budget deal in December are our encouraging developments. Under the 2-year budget deal, appropriations for the fiscal year beginning October 1, 2016 should occur under regular order, which hopefully will allow the U.S. Army Corps of Engineers to let maintenance dredging projects at a more consistent and predictable pace. We were also pleased to see the passage of a 5-year $305 billion transportation bill, the FAST Act, in December. Among other transportation items, the FAST Act will fund the bridge construction from various state departments of transportation. This long-term program should not only provide an increase in bid opportunities for bridge construction projects, but we also think it should lead to improved bid pricing given the visibility provided to the marketplace. We also continue to see strong demand in 2016, for our Commercial Concrete segment. In fact, the vacancy rates in Houston for both retail and industrial real estate remain at historical low levels. We believe these continued low vacancy rates should lead to additional bid opportunities for both structural and light commercial services in the Houston market. We have seen a softening in the office and multifamily sector in Houston. However, ample opportunity remains elsewhere in the markets such as demand for educational, warehousing and distribution facilities. Additionally, the Dallas market continues to be a source of growth. Vacancy rates in Dallas are also trending lower, which should continue to drive demand for our services. In fact, the Commercial Concrete Construction segment ended the year with its highest level of backlog for the Dallas market in its history. We believe solid demand for our Commercial Concrete Construction segment will continue in our current operating market with the opportunity for expansion in the Dallas market. Additionally, we are exploring other growing markets to take our proven services into as we continue to grow the TAS brand and its geographical footprint. We remain confident in both our Marine Construction business and our Commercial Concrete business. I am focused on moving our company forward, positioning us for success and delivering more predictable results in the future. We faced significant challenges during 2015, but have also made a lot of headway and I am excited about the year ahead. I am confident 2016 will be a solid year for the company with significantly improved bottom line performance. With that, I will turn the call over to Chris to discuss our financial results in more detail. Chris?
Chris DeAlmeida: Thank you, Mark and thanks for joining us this morning. For the full year 2015, we reported a net loss of approximately $8.1 million or $0.30 diluted loss per share. These results compared with net income of $6.9 million or $0.25 per diluted share profit in the prior year period. For the year 2015, contract revenue was $466.5 million, of which our Heavy Civil Marine Construction segment generated approximately $347 million and our Commercial Concrete Construction segment generated approximately $119 million. Within the Heavy Civil Marine Construction segment, approximately 60% of revenue was generated from federal, state and local government agencies. About 40% was generated from the private sector. This compares to 43% being generated from federal, state and local government agencies and 57% from the private sector in the prior year period. For our Commercial Concrete segment, nearly 100% of our revenue was generated from the private sector. Consolidated EBITDA for the full year 2015 was $20.6 million, which compares to EBITDA of $34.2 million in the prior year period. For 2015, we bid on approximately $1.4 billion worth of opportunities in the Heavy Civil Marine Construction segment and we are successful on approximately $324 million, which resulted at 23% win rate for the full year 2015 and a book-to-bill ratio of 0.94x. Within the Commercial Concrete segment, we bid on approximately $1.2 billion worth of opportunities in 2015 and were successful in approximately $264 million, which resulted in 22% win rate for the full year and a book-to-bill ratio of 1.1x. Overall, we are pleased with the level of opportunities we had in 2015 and we remain optimistic given the level of bid opportunities we see for 2016. Additionally, we continue to see pockets of improvement in pricing and we are hopeful more widespread improvement will continue going forward. As of December 31, 2015, we had total backlog of work under contract of $357.6 million, of which $194.3 million is attributable to the Heavy Civil Marine Construction segment and $163.3 million was attributable to the Commercial Concrete segment. We currently have approximately $568 million worth of bids outstanding, of which $206 billion are related to the Heavy Civil Marine Construction segment and $362 million are related to the Commercial Concrete segment. Currently, we are the apparent low bidder or have been awarded subsequent to the end of the quarter an additional $82 million worth of opportunities. SG&A expense for the full year 2015 was $47.7 million, an increase of $13 million as compared with the prior year period. This increase was primarily a result of the addition of TAS. With this in mind, we expect full year 2016 SG&A expense to be approximately 10% of revenues. Now turning to the balance sheet, as of December 31, 2015, we had approximately $1.3 million of cash on hand after making unscheduled payments of $35 million during the quarter on our credit facility. As of December 31, 2015, we had access to approximately $50 million under our revolving line of credit with approximately $110 million in total debt outstanding. Subsequent to the end of the year, we drew $22 million on our revolving line of credit to fund working capital needs. We continue to make excellent – maintain excellent relationships with our lenders and I am confident that our cash position is adequate for general business requirements and to service our debt. Please keep in mind our leverage ratio covenants that’s down in the first quarter of 2016. We will continue to monitor our covenants in light of 2015 results and projected performance in the future and will engage our lenders when the need arises. Additionally, our bonding program remains solid and is more than adequate to support our bid activities. Overall, we are pleased with our financial position and remains focused on maintaining a strong balance sheet. While 2015 was a challenging year for Orion Marine Group, the international – the internal improvements to our operations and the acquisition of TAS led to strong foundation for the future. The continued strength throughout our end markets give us optimism that improve results in 2016 is attainable. While we continued to monitor our markets closely for any changes in bid pricing and overall opportunities, we remain confident in our previously stated 2016 guidance. As Mark mentioned, we believe we have corrected any issues that arose in 2015 and we are well positioned for success in 2016 and beyond. With that, I will turn the call back over to Drew to begin the Q&A portion of the call.
Andrew Swerdlow: Thanks, Chris. We would now like to open the call up for questions. Operator, would you please review the procedure for placing the questions?
Operator: Thank you. [Operator Instructions] Our first question is from Scott Levine with Imperial. Your line is open.
Scott Levine: Hey, good morning guys.
Mark Stauffer: Good morning Scott.
Scott Levine: So I know it’s not your custom to provide bookings guidance. You guys are affirming your revenue and EPS guidance here. But you provide I believe a little bit more color behind what looks like a qualitatively positive bookings outlook for this year, do you see the bid market is being comparable to last year, maybe a bit more color regarding individual segments to get a better sense of what type of commercial activity we can anticipate in 2016?
Mark Stauffer: Well, Scott, I would say comparable. There maybe some areas where it’s slightly up, other areas where it’s slightly down. We talked a little bit about that in my remarks. But I think overall comparable. Where we are pleased with what we see ahead of us. We continue to see the opportunities in the various areas that I touched on in my remarks. So we think the market is there for us to go out and bid and hopefully win our share of the work. And we expect a good – improved 2016, as we said.
Scott Levine: And then thank you. And then with regards to the quarterly progression, I am guessing your guidance implies that you guys remain compliant with your covenants, but maybe a little bit more color regarding, firstly if that’s true or the add backs that make you comfortable, I know you indicated you will revisit with the banks if it comes – becomes necessary. And then for the first quarter this year, at the very least, your first half, can you provide a little bit more color regarding dredge utilization, is there anything unusual expected by the way of seasonality or just so that we can get a better sense of what Q1 ends up looking like?
Mark Stauffer: Yes, absolutely. The first quarter is always our weakest quarter of the year. So we anticipate that also the five jobs we talked about in the third quarter, two of those have completed. They completed in 2015. There are three that continue on. So those are at zero margin at this point, so there is no additional gross profit that’s coming in. So I think we will see a weak Q1 and then we will see steady improvement as we go throughout the year with probably a pretty strong back end of the year overall. On the covenant compliance standpoint, I will just go back to what I said in my prepared remarks, that overall we feel good about looking at total perspective cash position where we are at in performance side of things. But if a need arises, we will definitely have conversations with banks.
Scott Levine: Would you give us – so would you be willing to give us where you guys are on the debt-to-EBITDA ratio as of 12/31 based on your covenant definitions, can you give us that?
Chris DeAlmeida: Well, I mean the Form 10-K will come up here probably Monday. What I will say is we are in compliance with the covenants for the full year 2015 and at the end of the – at 12/31.
Scott Levine: Fair enough. And one last one, looks like your tax rate came in a little bit lower during the quarter, can you give us sense of why that is and maybe what tax rate we should be assuming for 2016?
Chris DeAlmeida: For 2016, I would assume a probably around 38% tax rate. Worth expecting the tax rate overall for 2015 in this quarter has been a little bit into the fourth quarter as well, it’s just related to the valuation allowance that we took really in the third quarter, but does impact the fourth quarter from that perspective. So that’s really the full year look at the total perspective. That’s called the tax rate to be around 24% for the year, but if we back that out on a full year basis, we get 38.5%.
Scott Levine: Got it, great. Thanks Chris.
Operator: Our next question is from Matt Duncan with Stephens. Your line is open.
Blake Hirschman: Good morning guys. This is Blake on for Matt. I was wondering – just following up on Scott’s question, if you include the full year of TAS, it looks like your total revenues would have been about $603 million for the year. And then your guidance has been assumed the top line growth of about 4% to 12%, I was wondering if you could just breakdown where you are expecting the sales growth to come from and more specifically, how much from your end markets and especially in marine construction?
Chris DeAlmeida: Well, I mean keep in mind, somewhat last year was impacted by a number of different things in terms of what revenue could have been, should have been. We had the significant rain event in Texas in the second quarter that impacted both the Marine Construction segment and the Commercial Concrete segment. Hopefully, we are not going to have a repeat of that this year. We also – as we talked about in the remarks on the commercial concrete side, the Dallas market is very robust. So we are very pleased with what we see there. We talked about all of the – both on the private side and the government side in the Marine Construction segment, the things that are going on there that bode well for us. So we think that the combination of where the markets are, not having the rain events that we had last year, which would be unusual to have that 2 years in a row, so we don’t expect that to occur. We certainly don’t expect to have the operational issues that we had last year that also impacted the results. And going out and winning our work and executing well, that we will achieve the results in line with the guidance we previously provided.
Blake Hirschman: Okay, thanks. And then just kind of moreover on that, just wondering if you could give us into more detail on how much your revenues now are from energy-related projects, I know about half, I think in 2014 in the private sector and I believe about half of those were in energy-related, so about 25% in ‘14, which obviously didn’t include TAS, so it would be less now, but what would you say is your energy exposure now, at least in your Marine Construction segment?
Mark Stauffer: On the Marine Construction segment, it’s about the same. As we said in our – in my remarks, we continue to see bid opportunities, there continues to be expansion of facilities along the Gulf Coast. Just as in terms of storage and things of that nature, but also in terms of exports, we talked about petrochem, LNG. We didn’t mention it in our remarks at this time, but we did last time, we had the ban on crude exports has been lifted. So we continue to see opportunities. We are working on projects today. We have got work loaded. We have got bids on the schedule upcoming. So, we remain confident that we will continue to see opportunities there. So – and then there is certain amount of maintenance work and maintenance of the facilities, including repair and dredging and things like that just are recurring events. So, we think it’s about the same and we like what we see. Obviously, as we have said before, we will continue to monitor this area in relationship to what’s going on in the marketplace and the price of oil and things of that nature. But right now, we are seeing our demand remain solid and expect that to continue.
Blake Hirschman: Okay, great. And then just lastly, on margins, gross margin was 10.8% for the quarter, how did that come in versus your expectations?
Chris DeAlmeida: On the margin perspective overall, revised after the post third quarter issues and I think it’s pretty much in line with our expectations.
Blake Hirschman: Okay. And then for 2016, any changes in your EBITDA margin long-term outlook in each segment or is it still the same there?
Chris DeAlmeida: No, as far as the long-term outlook of the EBITDA, it remains the same. As we look beyond, clearly, we have the issues in the third quarter, but we are expecting it to definitely pick back up and we remain confident in our ability to get margins where they need to be.
Blake Hirschman: Okay, great. Thanks.
Operator: Our next question is from Alex Rygiel with FBR Capital Markets. Your line is open.
Alex Rygiel: Thank you. Good morning, Mark and Chris.
Mark Stauffer: Yes, Alex.
Alex Rygiel: As you brought up the topic of TAS market expansions, both some expansions are available to you in Dallas and maybe some other cities. How should we think about that impacting your P&L? Is it sort of near-term cost, intermediate, long-term revenue opportunity? And then should we kind of sort of layer that in for our thinking for 2016 and/or ‘17?
Chris DeAlmeida: Well, the thing about 2016, I mean, we have reiterated guidance. So, you kind of know where we said that was for 2016 in relationship with those results for 2015. So, we talked a minute ago about how we get there and part of that is the performance on the Marine Construction side, certainly part of it is going to be on the TAS side. We continue to see demand for the services in both segments. Specific to TAS, we have got good coverage in Houston. So, we expect that to remain solid. Dallas has a lot of activity going on right now. So, there is the opportunity there for expansion, a lot of work in place and upcoming up there. So, we really like that market. And as we have said before, we will look for opportunities to expand beyond the two markets that we are currently in. So, again, lot of activity in other parts of the Texas that are interesting to us, but factoring all that in, we just – as we said this morning, we are reiterating the previously provided guidance for 2016. So, all of that going on in both segments will support that.
Alex Rygiel: Maybe to be a little bit more specific, are you currently actively bidding on any concrete jobs outside of Houston and Dallas and...
Mark Stauffer: We are not. We are not.
Alex Rygiel: At what point this year do you think you might have the people in place to start bidding on projects outside of Houston and Dallas?
Mark Stauffer: Well, I would say this, Alex, is right now our growth strategy is short-term focused on Houston and Dallas with respect to TAS. We want to be smart about how we expand geographically with TAS. It is as you just mentioned it the equipment side is fairly easy. The people side is a lot more – there is more to it on the people side. We want to be very deliberate, but thoughtful about how we address that on all the people side. I mean, that’s one of our role in all our business, but certainly with TAS as well, the people side of it is certainly key. We have got an excellent workforce at TAS. And so we want to make sure that as we expand that, that we have retained that. So, we will – we are looking for opportunities, but we think 2016, our guidance for 2016 is not dependent upon moving into other areas that we are not currently in. That being said, we are certainly looking for the opportunities to expand, but we will be very diligent and thoughtful about how we do that. And that may occur this year, it may not occur this year, but again irrespective of that, we are comfortable with our guidance.
Alex Rygiel: And since we don’t have too much historical data on TAS, can you help us to better understand the seasonality of that business 1Q, 2Q, 3Q, 4Q for both sort of revenue and margin?
Mark Stauffer: From an overall perspective, typically, they are a little more linear. They see some seasonality through Q1 and Q2 historically. So as we go forward, we would expect a little bit back into it, but not as much as the Heavy Civil Marine Construction segment. So, I expected fairly even results over time. Now, on the margin perspective, same type of thing, we would expect to see it fairly steady across the periods barring no major weather events like we have last year in Q2.
Alex Rygiel: So, for TAS, both revenue and margin steps down in 1Q from 4Q?
Mark Stauffer: Slightly, just slightly.
Alex Rygiel: Okay. Very helpful. Thank you.
Mark Stauffer: Thanks.
Operator: Our next question is from Marco Rodriguez with Stonegate Capital. Your line is open.
Marco Rodriguez: Good morning, guys. Thank you for taking my questions.
Mark Stauffer: Good morning.
Marco Rodriguez: Good morning. Real quick follow-up adding on to that previous question there. Just kind of trying to take a look at the Commercial Construction business in the first half of ‘15 if I could just kind of back into what you reported for Q3 and Q4, it looks like they were down a lot lower from a revenue standpoint. Is that all weather-related or am I not doing my math right here? Can you kind of help me understand that?
Mark Stauffer: Are you talking about the second quarter of last year?
Marco Rodriguez: Yes, of ‘15.
Mark Stauffer: Okay. Yes, they were. So the second quarter, if you remember, we had e tremendous amount of rain. I forget this about how many days of rain occurred in Texas consecutively, but essentially, I want to say April to June with steady rain. That did impact our second quarter pretty dramatically. So, they did see a significant pullback in Q2 just because they couldn’t physically do work at that time. Like Mark talked about, we don’t expect that to continue. We would normally see that 2 years in a row and we don’t expect to see that significant of an impact as we look at 2016.
Marco Rodriguez: Got it. Okay. So that low $70 million run-rate that commercial construction or concrete construction had in the second half of ‘15 from a pro forma basis, that’s just kind of making up revenues that obviously they couldn’t work because of the weather?
Mark Stauffer: Correct.
Marco Rodriguez: Is that fair? Okay, got it. And then last quick question just kind of housekeeping item here on the balance sheet, I noticed goodwill kind of ticked down sequentially?
Mark Stauffer: Sequentially year-over-year...
Chris DeAlmeida: Goodwill didn’t.
Mark Stauffer: No, I don’t believe goodwill ticked down. Intangibles they have because of amortization.
Chris DeAlmeida: Correct. But goodwill, actually year-over-year will go up because of the TAS acquisition.
Marco Rodriguez: Right now sequentially, maybe I have guided a figure wrong, I had a Q3 goodwill of $70 million, your Q4 is a $65 million.
Chris DeAlmeida: Yes, there was a point case of investments in the purchase price accounting just in relation to what was considered goodwill of our suspect assets as we did our final allocation in the purchase price. That’s the only change there.
Marco Rodriguez: Got it. Got it. And then last quick question, just on kind of taking a look at again, balance sheet and working capital accounts, given now that we have got TAS in, fairly fully integrated. I guess, I mean, how should we be thinking about the movements on receivables, payables, just kind of give us a sense of sparks from a data standpoint?
Chris DeAlmeida: Yes. So, if you look at TAS historically, it’s a sub and we expect don’t see a sub going forward to increase. Those contracts are usually written as payer-on-pay. So naturally, we will see they are receivable timeframe be a little bit longer than we would see on the heavy civil and marine construction side of the house. So with that we would expect overall, as you have seen, receivables will build. From the payables perspective, we have been diligently working and focused on that. I don’t think there is a massive trend there from that standpoint. But it clearly, as we grow this company, we have been seeking to get a little bit better terms with our vendors that are a little bit longer from that perspective for better cash flow management as well.
Marco Rodriguez: Got it. Thanks a lot guys. I appreciate it.
Mark Stauffer: You bet.
Operator: Our next question is from Adam Thalhimer with BB&T Capital Markets. Your line is open.
Adam Thalhimer: Hey, good morning guys.
Mark Stauffer: Good morning.
Chris DeAlmeida: Good morning.
Adam Thalhimer: Can you talk about competition within the Heavy Civil Marine segment and Chris, you talked about pockets of pricing improvement, can you just expand on that?
Mark Stauffer: Well, I think where competition is on the heavy civil side is kind of what it’s been. I mean, we typically – I have a lot of regional players in our various markets we serve. There is a couple of a national marine construction companies that we will compete against as well. And then on certain projects, particularly DOT bridge work, we may compete against large land based heavy civil guys, but no rule will kind of change in that. We continue to believe that bid pricing should be better across the board than sometimes it is. We have seen steady improvement in that in areas – in certain areas, it’s been more pronounced than others. Certain areas, I think lagged behind where we believe it ought to be. We think work is out there. We talked on in my remarks about funding on the government side of things. Certainly, we all like to see GDP growth north of 3%, but we are still – we still have GDP growth of – our belief is that bid pricing should be a little more strong across the board than it is. But certainly, we think some of the developments recently in some of the areas, hopefully will provide that visibility to the marketplace to where competitors will kind of get onboard with that thought process. Having said all that, as Chris mentioned earlier we have continued to see pockets of what we prefer to as pockets of price improvement. I think in general, though we have seen pricing improvement in some areas, it’s a little, but more advanced than others. And then certainly, we will from time-to-time see some skittishness in the market. We saw a little bit of that in the first part of this year. With the overall macro markets kind of having a little bit of a freak out, we saw some of that sort of immediately kind of tighten the things up. But which will monitor but overall, stick with what we said is that generally speaking, we think the demand is there that supports bid pricing improvement. We have seen that steadily occur over time. Kind of across the board, but in certain areas, it’s been much better than in others. So, again, we would like to see that continue and think that the work out there is in place for that to occur or so.
Adam Thalhimer: Okay. Mark and then the skittishness, was that more in the Marine segment or the Commercial segment or just kind of across the board?
Mark Stauffer: No, that was kind of a little bit. I think that was a temporary little blip and we think we are getting pass that. But again, as we kind of go back to what we said was this morning we think that the market is out there, the demand is out there. And I would say overall across the board, that’s not really a concern of ours. That again, I would refer back to the remarks that we have seen steady improvements. In certain areas, it’s been much more improved than others. But across the board, it’s been improving and so we are confident in our ability to achieve our guidance.
Adam Thalhimer: Okay. And then just lastly, the 2-year budget deal, that goes into effect October 1, should that help the Army Corps, when did that helped the Army Corps lettings?
Mark Stauffer: Well, there is kind of two things. One, under framework they passed an OMNIBUS funding bill, which is kind of like what they have bee doing in the last several years for the current fiscal year. But under that 2-year agreement, which set the budget framework, which is kind of the big deal because that hasn’t happened in quite some time. They should – it should allow the fiscal year 2017 appropriations process to occur under regular order, which again is something that hasn’t happened in quite some time. We were hopeful that fiscal ‘16, that would occur and it looks like it was going through the process at the end of the day, they just couldn’t get it done. But we are hopeful that, that got the 2-year budget deal in place. So they don’t have to argue about that. They just kind of have to argue about the appropriations for fiscal year ‘17 so we are hopeful that, that occurs. And so there is full funding for the balance of this fiscal year. It wasn’t done – it was done under an OMNIBUS versus normal appropriations, but we are hopeful that this year, they get appropriations in place certainly for the Corps of Engineers in the Navy by October 1. And if that occurs, that’s got to be an improvement over what we have seen in the last couple of years, we believe.
Adam Thalhimer: Understood. Okay. Thanks a lot.
Mark Stauffer: You bet.
Operator: [Operator Instructions] Our next question is from Jon Tanwanteng with CJS Securities. Your line is open.
Unidentified Analyst: Hey, good morning guys. It’s Pete Lucas [ph] for Jon. How are you? Just a quick question for you, I know you mentioned the possibility or the potential of leased out there of TAS expansion. But overall, how weltered would you think about CapEx plans for the year and beyond that priorities for cash beyond the CapEx?
Chris DeAlmeida: So overall, we would expect CapEx for ‘16 to be fairly in line with 2015 sort of low-20s. Beyond that as far as a cash – cash management and capital velocity, clearly we would like to pay down the debt as quickly as possible. We made some additional payments in Q4 that actually is at the end of the quarter, we drew some of that at the beginning of the year. But our focus was going to be continuing with – on getting that debt paid down as quickly as possible using excess cash flow to pull out that down to a level we feel it should be at, which is a much lower than it today.
Unidentified Analyst: It’s helpful. Thank you.
Operator: Thank you. And I am not showing any further questions. I will now turn the call back over to Andrew Swerdlow for closing remarks.
Andrew Swerdlow: On behalf of Orion Marine Group, we would like to thank you for taking the time to talk to us this morning and look forward to speaking with you in the future. Also, if you have any follow-up questions, please feel free to give me a call. Thanks, and have a good day.